Martin Dunwoodie: Right. I think we're ready to go, yes. So good morning, everyone. I'm Martin Dunwoodie, Head of Investor Relations at Johnson Matthey, and thank you to you all for coming along today and for those of you who are tuning on the webcast. Before we start, just a point of admin, if you can turn all mobile devices to silent or off. Very pleased today to welcome our CEO, Liam Condon; and our CFO, Stephen Oxley. We're going to have a presentation, as usual, and then plenty of opportunity for Q&A from the room, and we'll also take questions from the webcast. I'll point you to our cautionary statement on the screen. And then with that, I'll hand over to Liam Condon, CEO.
Liam Condon: So thank you very much, Martin, and a warm welcome to everybody here in the room at the London Stock Exchange. And of course, a warm welcome to everybody who's joining us online as well. Now the program today is I'm going to give a brief introduction, give you a short update overall, where we stand as JM, what progress we're making on our transformation journey. Stephen is going to talk us through the financials the presentation. And then we're going to take a bit of a deep dive into the different businesses and give you an update and some further insights on how we're progressing overall as a company. Now I think you all know I joined the company about 1.5 years ago. It was actually in March of last year. And at that time, the Russia-Ukraine conflict had just started. We were still suffering from somewhat from a COVID-related supply chain issues. We went into a period of extended heavy inflation. Overall, it's been a really weak, let's say, almost recessionary environment. We've had high interest rates, and now we have another awful conflict in the Middle East. So say the least, it's been a pretty volatile time in that period. And you can see that reflected also in platinum group metal pricing, where there have been significant declines over the year. Palladium is down over 40%. Rhodium is down almost 70% on a 12-month basis, and that has impacted our reported results. So there's a lot of things out there that we can't control as JM. But there's an awful lot as JM that we can actually control, and that's what we've been focusing on. And I'm pleased to see that our underlying operating profitability has actually improved by 10%. So I think this is good progress to note here today. Personally, I think this is due to the fact that we're making real progress on the transformation side. And I'm going to give you a brief update, just share some thoughts on the key topics that we're addressing in a minute on transformation, and we're going to come back to those themes in the presentation later on. Now this isn't just about short-term. The journey we're on for Johnson Matthey isn't just about improving operational performance in the short-term. It's about setting this company up to be great for the future as well. It's about developing a platform for sustainable growth and sustainable value creation. And that's why it's so important for us to also make sure that we're delivering on our strategic milestones, because they are what set us up for the future as well. And I'm pleased that on that front, we were tracking along very well with the progress that we're making. Now on the transformational side, I've spoken about different topics that we're addressing. One of the biggest -- not in here, but it actually our portfolio transformation, where we're investing the value businesses. This has a big impact because it allows us to double down and focus on the businesses where we can be a global leader. But the areas, apart from those divestments that we're really doubling down on is commercial. I spoke a lot about improving the commercial muscle strengthening the commercial muscle of the company. And now we're not just talking about it. Now you can actually start to see the results show through. in we're presenting. So if you look at the pricing development in our core businesses, margin improvements in Clean Air, and quite an astounding margin improvement that actually in catalyst technologies. And we're winning new business in all of our businesses. So this is what the commercial -- improving the commercial muscle is about. But again, it's not just talking about what we're doing. I think what's really important is that we start seeing that this is flowing through to the results as well. On capital projects, we've placed a special emphasis here on also strengthening the foundation. This means also building up capabilities in the company. And we have a very disciplined approach to capital investments. And I'll talk a little bit later about that. And we're also working hard on improving operational efficiencies. But this disciplined approach also allows us, despite the fact that we still have inflation today at still a pretty strong rate. It's coming down, but we still have inflation. We can actually reduce our planned capital expenditure. And we'll talk a little bit about that as we go through the presentation today. And on the cost side, I'm pleased to say that we are making very good progress as well. I spoke about it for Johnson Matthey to become more efficient, because that allows us also to have a stronger platform for growth. Multitude of things underway, our global business process. Outsourcing is underway. This is something that we're not just planning anymore. This is going into the implementation phase, we’ll have a fundamental impact on Johnson Matthey going forward. Also has a big impact on our cost position. Procurement, we're getting much, much better at. We'll talk about this during the presentation. And we're streamlining our footprint, whether this is Clean Air manufacturing facilities that we'll talk about and/or real estate, we're taking a streamlining approach here. And all of this is flowing through, and all of this is going to increases our confidence that we will be able to actually exceed our original target of GBP150 million savings in ‘24, ‘25. So these are the themes that we said will be key for us to drive the transformation. And what you're starting to see in the results that Stephen will present is this is starting to shine through. And then finally, on this piece, the strategic milestones. I'm not going to go through all of them, will pick up different elements throughout the presentation. The key point is everything here that we've committed to delivering we are on track for delivering. There is nothing here that we will not deliver. The only one that's yellow is employee engagement, which, as you can imagine, with a huge transformation ongoing, create a degree of uncertainty. What I'm actually really pleased about is in the latest employee engagement survey we did in September, the engagement scores have improved. So this, for me, is a strong sign that we're going in the right direction. And we're very confident that we'll be able to achieve all of these, the ones that we haven't yet achieved, they're all on track for achievement within the stated timeframe. So this, I hope, gives confidence that we're not just improving operational underlying performance, but also strategically setting the company up for success in the future. So that's just by way of introduction. Now I think it will be a good point in time to take a deep dive into our financials. And with that, I'd welcome Stephen to the stage. Over to you, Stephen.
Stephen Oxley: Thank you, Liam, and good morning, everyone. As you can see, our headline numbers have been impacted by a significant reduction in average metal prices. As a result, sales were down 1% and operating profit decreased 15%. In spite of this, we delivered a good underlying performance, driven by improved pricing and cost savings from our transformation program. Excluding the impact of metal prices and foreign exchange, operating profit was up 10%. There's positive momentum in our growth businesses, both Catalyst Technologies and hydrogen technologies. We've also improved profitability in Clean Air and catalyst technologies as a result of our actions on pricing and efficiencies. Earnings per share were down as a result of operating profit higher taxes and increased finance charges. We continue to maintain a strong balance sheet. Net debt came in at around GBP1 billion, and our net debt-to-EBITDA ratio was within our target of 1.5 times to 2 times at 1.7 times. Lastly, we've maintained our dividend. We're announcing an interim payment of 22 pence in line with last year. Let's turn now to our performance in more detail. On a continuing basis, group sales declined 1% at constant currency to just under GBP2 billion. Clean Air sales grew 4%, supported by increased pricing and slightly higher volumes. In our growth businesses, Catalyst Technologies, sales grew 5%. And in Hydrogen Technologies, they were up 61% as we scale this business. This was offset by a decline in PGM services due to lower metal prices, as well as a reduction in refining volumes, both of which we flagged in May. Sales in our value businesses were down because of lower consumer demand in battery systems. Turning now to profit. Underlying operating profit was up 10% to GBP244 million, excluding the impact of foreign exchange and metal prices. The increase was driven by higher pricing, which delivered a benefit of GBP35 million, and cost savings of GBP25 million from our transformation program. And this was partially offset by a decline in PGMS and CT volumes. Including an impact of GBP55 million for metal prices and GBP9 million for foreign exchange, underlying operating profit decreased by 19% to GBP180 million. Total savings from the transformation program are now around GBP70 million, and we continue to make good progress. So as you can see, we've made significant reductions taking out management layers and improving procurement with more to come from these initiatives. We've yet to see the full benefits of our drive for greater back-office efficiency as well as the consolidation of our manufacturing footprint and office space. We're driving our transformation program harder, and we now expect to exceed our '24/'25 cost savings target of GBP150 million. Looking at the rest of the income statement on an underlying basis. Our finance charge increased to GBP41 million as a result of higher interest costs. Our loan note matured in June, and as a result, 60% of our debt is now fixed with an average maturity of 4.5 years. The underlying effective tax rate of 22% was higher than the prior year as a result of one-off items, but we still expect the full year rate to be 20%. Our reported results were impacted by GBP44 million of non-underlying charges. Most of these arise from impairment and restructuring costs as a result of our transformation program, as well as the consolidation of our Clean Air footprint into new and more efficient plants. We're making good progress divesting our non-core value businesses. The Diagnostic Services transaction has now completed, realizing a small profit that was offset by a loss on the disposal of our Russian business. This brings total cash proceeds from divestments to just over GBP60 million. And we remain on track to secure proceeds of at least GBP300 million by the end of '23, '24, fulfilling this strategic milestone. We ended the half year with net debt of just over GBP1 billion, consistent with year-end. Precious Metal working capital decreased as a result of lower metal prices. Refining backlogs remain well managed, but inventory in PGMS increased by about GBP100 million due to a routine shutdown and stock take at our U.S. refinery. Precious Metal working capital increased as a result of lower VAT payables and higher inventory to support sales in our growth businesses. CapEx of GBP157 million includes the ongoing renewal of our refining assets and the construction of a U.K. hydrogen technologies plant in Royston. This will complete next March and start operating later in the year, delivering another important milestone. Turning now to the individual businesses. Clean Air sales were up 4%, as we increased prices and benefited from higher volumes in light and heavy-duty diesel. In light-duty diesel, sales grew 7%, outperforming a declining market with the new platform win in the Americas and the recovery in China after COVID lockdowns. Heavy-duty diesel was up 5%, underperforming the market. We outperformed a strong market in Asia. But in Europe, we underperformed a growing market with a weaker mix. Light-duty gasoline sales decreased 1%, underperforming the market. In Europe, sales grew in line with a strong market, but we performed below the market in Asia and the Americas as a result of platform losses. Underlying operating profit in Clean Air increased 22%. Our focus is improving the margin, and we have already started to see the results. Margin expanded 110 basis points to 9.6%, supported by increased pricing and cost savings. This was partially offset by a weaker product mix. We expect strong cash flow generation this year, albeit more moderate than last, and we remain on track to generate at least GBP4 billion of cash through 2031. In PGMS, sales decreased 16% to GBP230 million, against a strong prior year. This was driven by lower average metal prices and reduced recycling volumes due to continued low levels of auto scrap. To give some context, the average price of rhodium over the last 3 years was over $14,000 an ounce, and it peaked in early 2021 at $29,000. Since then, the prices declined and stabilized at around $4,000 in recent months. Our metal trading service performed well, benefiting from volatile pricing. Operating profit of GBP78 million was also impacted by lower metal prices, although we offset lower refining volumes through cost savings. Given current metal prices, we are further reviewing the cost base in PGMS in order to improve profitability. In Catalyst Technologies, sales grew 5% to GBP282 million. We improved pricing across our portfolio with a stronger commercial focus, and we also delivered good growth in formaldehyde following recent project wins. Licensing sales were up 6%, driven by growth in both our core portfolio and sustainable solutions. We had good license wins in both areas, which Liam will talk to later. Underlying operating profit increased 84% to GBP35 million. Improved pricing and greater efficiency led to significantly improved margins. These were up 480 basis points to 12.4%, well on our way to our mid-teens target by the end of '24, '25. In Hydrogen Technologies, sales grew 61% to GBP37 million with higher volumes in fuel cells, which represent the majority of our business today. We also increased sales of components and samples in electrolyzers. As we scale the business, we're putting an emphasis on strategic customers and multiyear partnerships. These relationships underpin our run rate sales target of more than GBP200 million by the end of '24, '25. The business reported an operating loss of GBP26 million, reflecting planned investment, though we also benefited from higher volumes. We still expect the business to breakeven in '25, '26. And we are making good progress in the construction of our U.K. plant in Royston. Together with improved productivity, this means we can phase our CapEx more effectively. As a result, we're reducing our CapEx guidance for the three years to '24, '25. So moving on to our full year outlook. Given the performance in the first half, we now expect at least high single-digit growth in operating performance, assuming constant currency and metal prices. This is underpinned by transformation benefits of GBP55 million. In Clean Air, we continue to expect strong growth in operating performance and a stronger second half with double-digit operating margin for the full-year. External data suggests limited growth in vehicle production this year, so margin expansion will result from further pricing and efficiency benefits. PGM Services performance will be driven largely by metal prices with recycling volumes expected to remain subdued. As I mentioned earlier, we're reviewing the cost base in order to improve profitability. In Catalyst Technologies, we anticipate very strong growth in operating performance and a significant uplift in margin as we continue to deliver improved pricing and efficiencies. And in Hydrogen Technologies, we expect sales to grow strongly. We will continue to invest for growth in a disciplined manner resulting in an operating loss at a similar level to last year. It's difficult to predict how metal prices will develop. But if they remain at their current level for the rest of the year, the adverse impact on full year operating performance would be around GBP80 million, which we're working hard to mitigate. And at current foreign exchange rates, underlying operating profit would be around GBP15 million lower. Finally, as I mentioned earlier, we're reviewing the phasing and level of CapEx in Hydrogen Technologies and now expect group CapEx of GBP1 billion over the three years to '24, '25, a reduction of 10%. So in summary, the economic environment is clearly challenging. So we're driving those things that we can control harder: commercial rigor, pricing and our transformation program. We now expect to exceed our transformation savings target of GBP150 million by '24, '25. Clean Air and Catalyst Technologies drove an encouraging underlying performance in the first half, and we expect this to continue into the second. And finally, we're pleased with the project wins and the progress made in our growth businesses. And with that, I'll hand back to Liam.
Liam Condon: Okay. Thank you, Stephen. So I'm going to go through now a few of our businesses, look at them strategically, share some insights into the progress that we're making, and we'll have plenty of time for Q&A then after this piece. So first, a brief reminder of our strategy, our portfolio strategy. These are the four businesses that we defined as the global businesses where Johnson Matthey can be a global business leader and indeed is in most cases already today. And these businesses all have significant synergies amongst them. They're built on the foundation of PGMs, which allows us also to develop a truly circular business model because we can not only manage the metals for our customers and produce product, we can also recycle as well. So really important portfolio for us here. In June of this year, we basically give an insight into how we see this portfolio developing over time. And what you can see on the slide here is the underlying operating profitability and how it changes over time. And this is really what the transformation of Johnson Matthey is about because you could see a fundamentally different company in 2030 and beyond versus where we are today. You can see a highly profitable company as well. And actually, if you look at the growth businesses, Catalyst Technologies and Hydrogen Technologies, the underlying operating profitability of those two businesses alone will be significantly larger than all of JM today. So that's how we positioned the portfolio in June of this year. And I think what's really important to understand here is in the near-term, near to medium-term, it's actually cleaner efficiencies and catalyst technologies, both growth and margin improvement that's driving this profitability. The hydrogen technologies growth is happening from a sales point of view right now, profitability is, of course, coming somewhat later. But it's really Clean Air and Catalyst Technologies driving profitability growth is what we said in June. And again, that is exactly what you can see in our half year results and that's exactly what we're forecasting as we go forward. These are two near-term growth drivers where you don't have to wait until 2030 to see if the strategy is working, you can see it right now in our results. Now if we go through the individual businesses, and I'll take them one by one, just give -- share a few insights and then we can enter the Q&A. On Clean Air, we spoke a lot about the need to improve efficiency. And what I'm really pleased on progress this year. On the one side, pricing progress has been really good. We spoke a lot about the need to improve the commercial muscle. You can see that come through in Clean Air pricing. But we also spoke a lot about the need to be more efficient to streamline our manufacturing footprint and to focus on the most efficient plants that we have worldwide. We have 16 plants, and we had announced that we want to shut down four of those plants. We've actually already closed down three within this year. So the Clean Air team has done a huge job to actually make progress, and shutting down three plants globally is no easy task. And the cost benefits of that, the efficiency benefits you get in the subsequent years. You don't get that big impact in the year that you shut down a plant, you get it in the following years. But then you know it's going to come. So I think great progress here from the Clean Air team. On the winning business side, we're winning the businesses we had targeted, particularly related to Euro 7. As you know, the Euro 7 legislation has passed. Our parliament has now got a proposal on the table that's somewhat different than what the commission had already proposed. But it's good to see that this is progressing. And bear in mind that there is -- will be equivalent legislation also coming in the U.S., also in China and also in India. So there is still plenty of opportunity here for us as a Clean Air business. So I think good progress to note. What's coming? We're laser focused on improving the margin. It's good to see that we had an over 100 basis point improvement in the half year. We're going to get this to double digits for the full-year, and we see significant improvement potential thereafter. Where is that coming from? Again, it's better pricing, plus I'd say much more focus on costs. And cost is manufacturing consolidation, so footprint streamlining. It's also SG&A. It's also R&D. So a lot of things that we can control regardless of what's happening in the market that can help us improve the overall margin of this business. So I think good progress to-date, lots more to come. We look forward to digging into that further in the Q&A as well. On the PGM side, core focus for us has been our asset renewal plan. I think you all know, we -- our main refinery for PGMs is in Royston. It dates from the 1950s. So we have a once in a lifetime or once -- yes, say, lifetime upgrade of that facility, which is really important because it will allow us to operate in a much more efficient manner going forward without any concerns about the future viability of the refinery, as well because if it's 70-years old, of course, you're going to get a lot of maintenance issues. So really important that we make progress on this, and we're making very good progress. We have completed our China refining capability, which is really important for us to be able to tap into the full market opportunity in China. And we're driving business growth on the product side, particularly tapping into the life cycle, SRE, the life science market where there is a growing need for PGM-based catalyst. And here we see significant growth potential. Overall, what I think is really important, this business is a foundational piece for JM for all of the other businesses, and we've particularly seen the demand on the energy transition side, so Catalyst Technologies and Hydrogen Technologies customers are more and more interested in our ability to offer a full solution, meaning manage the metals because no customer who doesn't have metals experience has the capability to do this, typically. Manage the metals, produce products and recycle them. And on that front, I think we've made great progress recently. A lot of our customers are asking for certified green metals. And we have got certification now from the Carbon Trust that our metals as secondary refined products qualified can be certified as green metals, which allows us also to charge a premium for those metals then going forward, because this is based then on a market demand that is there for other companies who want to meet their sustainability commitments. We've also recently had a breakthrough on the recycling side, which I think is going to be really important for the future of the electrolyzer and fuel cell market. At lab scale, we have now got a process whereby we can also recycle the membrane. And the membrane is a core part of any electrolyzer or fuel cell. Key component, there's actually a bit of a bottleneck in supply on that side. So having a recycling capability here actually adds, apart from the sustainability benefit, actually adds a real competitive advantage. So this is something that we're looking forward to scaling up, but it's another piece of the puzzle that allows us to do a closed loop business model and really cement that foundational element of our business here. On the Catalyst Technology side, last time around, we spoke about the need to improve this business. I'm really pleased to see the progress that the team has been making here is really strong progress. As Stephen already outlined, I mean, 84% improvement in profitability, I think, is quite remarkable in any world. But we've been doing that not at the cost of the business. We've been doing that at the same time as we're investing in the business. We've ramped up engineering capabilities, and this is specifically on the process engineering side licensing business. So we're investing in the business here, getting it fit and ready for more growth in the future. And we've been winning a lot of new business. So driving profitability and winning business at the same time. This is a really good and healthy mix that we wanted to see. I'm happy that it's now starting to come through in the results. Here, the sustainable solution projects that we won to date. A quick overview of what they are. We had a target basically of eight to 10 for the end of the year. We've already achieved nine. And since I last spoke to you in May, we've achieved four. So this is like almost one a month. This is really tracking along. And what you can see here, these are very different projects, low-carbon hydrogen, sustainable aviation fuel. But you can see a truly global footprint. And this goes from North America to Australia and everything in between. And we believe there is a world of opportunities out there for us, but it shows we have here a global footprint. And these are first-of-a-kind projects. These are kind of the lighthouse projects that set the tone for what's to come. And if you have companies like an Equinor or Linda or a BP choosing your technology for first of a kind, that means it's good stuff. And that gives confidence to others who are making their technologies for their projects, gives a lot of confidence that those companies have done an awful lot of due diligence, done a lot of comparisons. And if they pick you, must be good. So these are important not just from a commercial point of view, these are important symbolic wins because they set the tone about what can come thereafter as well. And we said we've over 100 sustainable solution projects in the pipeline, and this pipeline will grow over time as well. So I think great, great progress here. Finally, on this one, it's not just then about this growing the licensing business and the sustainable solutions projects. We actually see tremendous opportunity to further improve the margin both near-term and long-term. And near-term, we have a variety of different areas that we're working on. One, again, same as in Clean Air, when we talk about improving commercial muscle, equally applicable to Catalyst Technologies. So you're seeing pricing improvements. Procurement, this is also very relevant for Clean Air. Very important space for our Catalyst Technologies business. Give the example, we have -- we used to have 22,000. Last time we spoke, I said we had 22,000 suppliers. That's down to less than 14,000 right now. And of course, as you consolidate your supplier base, you get better deals with the ones who remain, and that number will go down to less than 10,000. So we're getting better deals and just doing a more professional job on the procurement side, and that plays through to the different business results as well. And then on the manufacturing efficiency side, this is not about shutting down plants. This is about getting more out of the footprint that we have. And here, we see very good opportunities for us with small investments to actually be able to ramp up more production, just get more out of the plants that we have, and that helps us also from the margin side. And then you can see the significant improvement that we've already seen in the half year continuing going forward to mid-teens and then high teens over time, particularly as the portfolio transitions more towards a licensing-based portfolio, you get into that high and beyond margins as well. So great progress. But again, this isn't something that we're saying, hopefully, we'll have by 2030. This is happening right now. You can see it starting to shine through in the results, and you should be expecting this to continue as we move forward. And finally, on Hydrogen Technologies, we're pleased with the growth, over 60% growth. Again, from a sales point of view, in any business, I think would be termed as good progress. Really important for us here. The challenge has been, and this is the challenge for the industry, has been building out the supply chain. So increasing manufacturing capacity is really important for us. So that's the bottleneck to actually increasing sales. It's not demand. It's the supply side and the ability to scale. Where we've been really pleased now is with progress in the U.K. with our current facility. So right now, we have a facility in Sweden, which was originally a development scale facility, which we've been using, but we basically repurposed it to turn out commercial product, and we've been refining the process as we go. And due to those refinements, we've actually been able to significantly ramp up production more than we had originally anticipated, and we're now building those improvements into the design of the plant that we're building in Royston, which was originally planned for 3 gigawatts of capacity. This will actually now be more. This plant will come on tap next year. So it's imminent that, that plant will be ready and that will be able to produce more than we had originally anticipated. And with that, we don't need to move as fast as we had originally anticipated in the U.S. because we'll be able to meet our customer commitments with supply from the U.K. And that's the reason why we're able to adapt the CapEx guidance because we're slowing down investment in the U.S. simply because we're doing a better job of churning out product in the U.K. So we will still be investing in the U.S. We will still be investing in China, but we will do this in a very disciplined manner, maximize the output of available assets. And if we're investing, it's customer backed. We use maximum opportunities available from government support, and we also look at customer co-investment. So I think overall, a very disciplined approach to what we're doing. Huge opportunity in this space. Green hydrogen is a key part of the decarbonization agenda. You won't be able to decarbonize heavy industry and things like heavy-duty without green hydrogen. So I think a key part of the overall decarbonization agenda, great opportunities for us as we scale up capacity. So final point, and this is really important for me to make this point. It's actually the most important for our new hires and particularly, our grads, and the fact that sustainability is at the heart of everything we do. A lot of companies make this claim. We're one of the few companies in the world that actually truly does have a circular business model in the sense that we can actually recycle platinum group metals, and it's a core part of what we do. What I'm really pleased with, when I look at the stats of what we're doing, I mean, we have ambitious targets. We're on the 1.5 degree scenario. So we're meeting those scientific initiative targets, 1.5, which means we have to reduce emissions by 42% by 2030. We're on target for achieving all of those. What's also important is our safety track record. For any company like us, which has a big manufacturing base, really important to be on top of safety. Our safety stats have improved significantly. We need them to improve further. This is top of mind for everybody in our company. But if your safety culture is improving, it's usually a good sign your overall culture is improving as well because there's a direct correlation between the health of a company culture and safety performance. When people care, you get better safety results. So this is really important for us to see. And as you can see from the number here, 20% reduction or improvement on total recordable incidents, this is good progress. And this is getting recognized externally, as you can see, whether it's Ecovadis or others. I think our efforts here are being recognized, really important for us overall from a sustainability point of view. But more and more, my personal belief is sustainability and the circular business model will more and more become a competitive advantage for JM. So we don't just do this because we want to save -- help save the planet and address climate change, it actually will give us a competitive advantage as well. So that's basically where we are as JM. We're at the end of the presentation. Again, just an overall summary, good underlying performance. The transformation at JM is very significant, but it is showing up now in the underlying results. And at the same time, we're delivering on our strategic milestones. And I can tell you, we are absolutely committed, myself, my team, to value creation for all of our stakeholders and looking very much forward to your questions today. And with that, thank you for your attention so far, and we'll now dive into the Q&A session. Thank you.
A - Martin Dunwoodie: Well, thank you, Liam and Stephen, for the presentation. We'll dive into Q&A. And as Liam suggests, as a reminder, if you can give your name and then company before you ask the question. We'll take questions from the room first and then move to the webcast. I think we've got the first one, Kevin second row.
Kevin Fogarty: Great, thank you. Kevin Fogarty from Numis. If I could start with two, please. You've upgraded the medium-term efficiency guidance today. Part of that seems to be driven by Global Business Services and a benefit from that. I just wondered if you could help us how should we think about that and the impact it has on the sort of structure of your cost base going forward? So what does that sort of entail? And the second point is really on the sort of value proposition. You've talked again today about improving the commercial muscle of JM. We're probably seeing some of that benefit come through in pricing. But I guess if we were to sort of think about pricing being above and beyond just cost recovery, how should the customer sort of think about your value proposition and how might that have changed? What will I see that's different?
Liam Condon: Yes. Thanks a lot, Kevin. So let me start with GBS. Stephen might want to chime in. And on the value proposition, particularly kind of commercial pricing, I would actually ask Anish to give an answer. Anish is the CEO of our Clean Air business, but he's also in charge of the commercial Council across all businesses. And he's the one I introduced last year as a commercial tiger. So we'll see what he's been up to. So on what we call Global Business Services is what I would call the classical business process outsourcing approach, which many companies have already done, I mean, many companies started decades ago on this. At Johnson Matthey, I think we were pretty siloed from a functional point of view, which led to the fact that we have pretty, quite honestly, clunky processes that are functionally optimized, but they're not optimized from a customer or an end user point of view because we didn't really have that end-to-end process view. And with that, we also didn't have the ability to truly automate processes. What we're doing now is instead of trying to fix all of that ourselves let's give processes to people, who do this on a day-by-day basis. And so we're partnering with a business process provider, who will basically help us professionalize the processes with an end-to-end view, improve user and customer friendliness of what we're doing, but also significantly improve the cost of that whole approach and have a quite honestly, a better risk-managed approach because a lot more will be automated versus today, where we have a lot of manual interventions. On Stephen's slide, he showed that, that should result in savings this year of GBP15 million. That will significantly increase going forward. So it is a significant cost portion. I personally think it will have an equally big impact on the culture of JM, because this forces us to think no longer silo, but end-to-end customer and user from that point of view. And that will allow us to work in a much more agile manner than is currently possible. So that's a little bit of the background to the Global Business Services has already kicked off, and we're implementing in U.K. and U.S., which are the two most affected markets already in the first half of next year.
Stephen Oxley: So let me come in. I'll pick up financial impact. So last year, we said GBP150 million of savings. I'm confident that we'll exceed that. I'm not going to give you a number now, but I certainly will update with a new target at year-end. The improvement isn't just GBS. It's right across the board. And as you start to sort of pick up things, you can see more and more benefit, which is why we're driving the change harder. So it's right across all of the areas that I talked about. And if you think about it, as we simplify the business, so as we close sites, as we sell businesses, we end up with a much, much more focused company, and that's lower heads. That means we can take cost out right across the whole business, from back-office, from IT, you name it. As the business shrinks if you like, in complexity, we get more benefit.
Liam Condon: Anish?
Anish Taneja: Yes. Thank you. I hope that works. Good morning, everyone. So thank you for the nice introduction, Liam, especially on the commercial tiger part. So in my role as the Chair of the Group Commercial council, I'm really pleased about the further development we have done on the commercial side, and there's a lot of proof points we can talk about. So what we did was probably if we split it in two parts. First was fix the basics. When you work on the commercial side, what you want to see is a kind of hunting spirit, which is proven by winning new customers that you did not have business before. And we have done that in all four businesses, including Clean Air, which is actually a good proof point that the commercial abilities are moving in the right direction. The second one on the basics is probably cross-selling. So you can see more and more that we have one GM account plans in our company where we're looking into the potential offers and products that we can bring to a customer where we already have a relationship, increasing our share of wallet or even bringing a new business into the relationship, which is especially true for HD and CT. And then also implementing a CRM system that gives us visibility and agility in front of the customers because the data is collected at one place and our position in that customer relationship gets more obvious. So that's done on the basic side. And then in the more advanced side, obviously, we're talking about the pricing. So when we look at the pricing effects that we had, for example, in Clean Air, half of our improvement on margin is coming from pricing and half is coming from efficiencies. And in that pricing side, it's not only about inflation. That's something we have to keep in mind. There's much more behind that, which could, for example, be volumes or products with a different mix, where we have possibilities to talk to the customers and improve the situation. And then probably the more sophisticated part is value-based pricing, where we're now starting to talk to customers about what do they really need bringing the voice of the customer to each and everyone in the organization and having rightsized and not over engineered products and services, which help us to get more value out of the relationship with customers.
Kevin Fogarty: Great. Thank you.
Martin Dunwoodie: You're welcome. Move to Charlie on the left.
Charles Bentley: Great. Thanks very much. Charlie Bentley, Jefferies. Could I just -- if I look at the bridge for the operating profit, I think on volumes, it implies probably something down on a top line basis, kind of maybe mid- to high single digit. Is that kind of right? And if I just go down through the commentary, it's clean or up and then CT down PGMs down. So it's just those divisions are quite meaningfully down to be down overall. Just could you help me with the kind of the various blocks there? And then the second related question is just as I'm looking into the second half kind of bridge again, like on a cost savings basis, you should be levering something like 12% earnings growth for the division. So it suggests that you have kind of slightly negative on the net of price and volume. So just again, as you think about the second-half, where do you think volumes are? And perhaps and like is the pricing component likely to be relatively similar, just thinking about those components.
Stephen Oxley: Yes. Let me pick up, Charlie. Thank you for the question. So as we said, if I look at the overall performance for the half, it's not dependent upon volume increase. We're really getting it from a combination of pricing and the benefits of transformation. There are ups and downs. The most obvious, obviously, is PGMS on the recycling side due to auto scrap. So we've seen volumes come down. Volumes year-on-year are down about 15%. And we're working really, really hard to offset that with cost savings. But as I said in the second-half, I don't foresee a rebound quickly. Hopefully, that will come in the next financial year, but we're not expecting any improvement in the second half. Clean Air volumes were up a little bit. It's sort of low single digit. And there are puts and takes in different regions in different sort of product areas. CT volumes were down a little bit. That actually wasn't the market. That was our ability to get product out the door. If we can debottleneck the plant there for relatively small amounts of CapEx, we can get higher volume and get that into the market. So that business has actually been slightly constrained Charlie. So there's opportunity there for volume growth, and I expect that in the second half. And obviously, HT speaks for itself, a 61% increase in sales. And obviously, most of that is volume driven.
Charles Bentley: Great. And sorry, just one other question. Just on -- I guess, if we look at your automotive customers that maybe you're going through a little bit of a rethink in terms of where they're going in terms of EV platforms potentially for the next decade. As we think -- I mean, your kind of planning assumption for EV penetration for Europe is something like 60% 2030. You think about the sensitivity of that number, whether it's 5% up or down. Like how do you think that impacts both that kind of GBP4 billion target, as well as on the OP of the business?
Liam Condon: Charlie, I suggest we ask Anish, this one as well, I got to get a definite. And then Stephen, you chime in, yes.
Anish Taneja: Yes, I think that's a really good question, which we're looking at constantly. I would separate the answer in different parts of the world. So if we look at China, we think the current predictions on EV penetration are accurate or even a little bit too low. So we see EV penetration that is going faster. But on the rest of the world, we're getting more and more signals that EV penetration will not be at the pace that we predicted and in some markets, never on to the level that we predicted. What we're looking for is real proof points that we can build a strategy on and rebuild our forecast on. For example, if you look to some of the CEOs of German manufacturers that have given press releases in the last six to eight months, they have been very clear that their EV penetration is going to -- the EV part of their fleet, which is very important for them on the CO2 coverage, is going to be later. And in some markets, never as big as they thought. So that's definitely generating an upside for us. I think we have to wait a little bit longer to see how regulation really kicks in, in order to be able to give a good forecast on the U.S. and the rest of the world. But for now, I will have a positive outlook on the runway of Clean Air in terms of size of EV penetration and also the end state of the business. We'll definitely come back to that in the next months and years because we need more proof points to be able to revisit our cast on the cash for 2030 '31, for example.
Stephen Oxley: Yes. So if I bring it back to the numbers, so we said a minimum of GBP4 billion in the 10 years to 2031. In the first two years, obviously, we delivered a lot of cash, and we're GBP1.2 billion, including the benefits of Precious Metal. We've got increased confidence in the GBP4 billion. We're not going to upgrade that. But that was set in the most aggressive EV transition scenario. So let me give you an example. We said that in Europe, no light-duty ICE cars will be sold -- or sorry, ICE vehicles will be sold in 2030, '31. That's not only cars, that includes vans and small trucks up to 6 tonnes. Nobody is saying that, I think, in the current environment.
Martin Dunwoodie: One from Riya. Just down from Charlie.
Riya Kotecha: Hey, good morning. This is Riya Kotecha from Bank of America. I've got two questions, please. My first is on Clean Air. When does the pivot to running Clean Air as a more mature business kick in versus maximizing profitability wins and gaining new customers? Can you talk about the plan for fixed cost reductions into next year after you've closed down the four sites? Do you have any plans to cut R&D costs next year? And is there wider sense that restructuring needs to accelerate with ICE production at peak levels and the Euro 7 decision? My second question is about working capital. Can you talk about the increase in non-PGM working capital, where days have taken a big step up to 57 in the first-half of '24 versus 35 in the prior year period. And this seems to be offsetting a lot of the PGM-related working capital inflows. So what is driving this? And what's your expectation for the second-half?
Liam Condon: Yes. Thanks a lot, Riya. So let me start on the first one. Steve, you chime in and then you take the working capital question. So I think what's really important for us with Clean Air today. We said we have a great opportunity to improve margin. We are running this business for cash de facto now. This is the core goal. That's why we have all the streamlining initiatives, whether it's the manufacturing footprint, whether it's SG&A, whether it's R&D. So we are running it as a cash-focused business today. So there's no pivot in the sense that we foresee a completely different operating model. We see a great opportunity to improve the profitability of the business as it is today, and we're completely committed to accelerating that trajectory. So that may be just on the overall positioning. Maybe, Stephen, you want to chime in general and then take the working capital question.
Stephen Oxley: So look, clearly, it is a mature business, but we still expect overall to see some volume recovery. We've not got the full post-COVID bounce. And we expect some of the product mix to improve. The cost base obviously doesn't just come down. When we close a plant, it takes a while, as Liam talked for that to come through. But we're constantly looking at the different costs. So we're trimming the R&D number depending on the regulation that's coming through. That will have peaked. We talked about the different levers that we can pull in the business to maintain and improve profitability. So it's about getting the margin up. You've seen some of that. We can get back to double-digit, and it's focusing on the -- very much on the cash generation. That's Clean Air. Let me come to just real on working capital. So overall, a reduction in working capital and a cash release there, which is really good. A bit of an offset, as you say, on metal and nonmetal. On the nonmetal side, we've seen an increase of about 150. Half of that is VAT related. That's the timing of payments. And we have had some stock build in both CT and HT that's supporting growth that will come through in the second half, okay? So actually, I think I'm actually quite pleased with the working capital performance overall. In the second-half, I'd expect continued cash generation and a good working capital position. The other thing I highlighted in my speech was that we're carrying around GBP100 million of higher metal, Precious Metal inventory in the PGMS business. I expect that to come out in the second-half.
Martin Dunwoodie: Okay. We'll now move to a couple from the web and then come back into the room. First one is from Alicia Samson, Berenberg. Could you please comment on the rumored 600-person layoff? Could this nudge up the GBP150 million cost savings?
Liam Condon: Yes. Thanks, and special thanks to Mark Kleiman for twittering last night. So let me give some context on what's happening on the overall headcount at Johnson Matthey. And this is directly linked to the transformation. The way we're looking at it is, if you go back a couple of years, Johnson Matthey had about 14,500 employees. We think in target state, this will be about 10,000. So really significant reduction. That is largely due to the divestments of the value businesses. That makes up well over 3,000 headcount. So these are not people getting laid off, these are businesses where there is a new owner. So people move to a different company. Then we have the streamlining impact. So what we are doing in Clean Air on the manufacturing footprint, closing four sites, three already closed. That has an impact of about 900. So you quickly get to a 4,000-plus number headcount that, that is real consolidation. And then there is a question of what happens with the remainder of the organization. And what we've been very clear about is, well, if we have a one-third less -- almost one-third less employees, we got to rightsize the rest of the organization. So we've got to make sure that we're not top heavy from a management point of view. We've got to make sure that overall, from a functional point of view, that we have the right number of people servicing the size of the business that then remains. And that comes to a ballpark of about 600, which is basically about rightsizing the company for the business that remains at JM, and that will be the base then for further growth, and we will be growing. We will, for example, be hiring more engineers. We'll be hiring more commercial people. And in different parts of the world, this will go at different rates. But that's where the 600 number comes in. It's about rightsizing the company to make sure that we have a sustainable platform for growth.
Stephen Oxley: Yes. And that is an important part of us exceeding and ultimately raising the overall target.
Martin Dunwoodie: Next one is from Charlie Webb, Morgan Stanley. There's been some recent concern over the financial health of one of your key fuel cell customers and partner, Plug Power. In light of these concerns, does it change the viability of your partnership? And what does it mean for the risks associated with the U.S. investments in HT?
Liam Condon: Yes. Thanks, Charlie. So it's a great question. So I think what's really important when we designed the strategy last year, we said green hydrogen is going to be an important growth opportunity for JM, one, because there's a huge need for green hydrogen going forward as part of the decarbonization agenda. But two, because we have great technology. We've been actually in the business for several decades. This is a space we know really well. So somewhere where we can be highly competitive. And what we said is we need -- as we move forward, we need to do more strategic partnerships and make sure that we are tied in with different players and different parts of the value chain. And one of the strategic partners that we have and that is being referred to is Plug in the U.S. Plug is a disruptor. It's basically designing or wants to be the ecosystem play for green hydrogen globally, but specifically with a very heavy focus on the U.S. They are recognized as the most advanced player in the world, but also in the U.S. from a green hydrogen point of view. So we did -- we do have an important strategic partnership with Plug, and this will continue. Plug is -- we've learned a lot from Plug. Plug learns a lot from us. We think it's a very good collaboration, and that continues going forward. We have many others, one of and multiple customers that we have. I think from an exposure point of view, and that's a little bit also background to the question, important to point out, we have no material balance sheet exposure to plug. Also important to point out, as I alluded to in my presentation, we have not yet started our new planned facility in the U.S. So we are planning to do a co-investment with Plug for a manufacturing facility for catalyst-coated membranes in the U.S. but we have not yet started that. And because of the ramp-up in U.K. volumes, we can serve plug for longer from the U.K., so we're able to push out that U.S. investment decision. So I would assume we'll be updating you on that sometime next year, but we haven't started. We haven't spent any material CapEx on it. So that's just the status quo.
Martin Dunwoodie: Okay. And then a couple of related questions. One from Lacie Midgley at Panmure Gordon. What's the risk of Plug Power's recent going concern warning on the HT business sales target of GBP200 million? And then related Alycia Samsudin. Could these difficulties impact the hope for breakeven in mid-2020s?
Liam Condon: Yes. So specifically, a part of the GBP200 million is a Plug is one of the customers that makes up the GBP200 million. So if, and we assume Plug will continue, that the base case scenario will continue as a good partner and will continue to be an important part of reaching that GBP200 million. If Plug was, for some reason, not a, let's say, able to meet this volume uptake, we -- there are plenty of other customers out there who are crying out for supply. So we have certain supply commitments to strategic partners. If one partner pulls back, it gives us the optionality to then basically do a partnership with somebody else that we maybe cannot commit to right now because we simply have constrained supply amounts. So I think we'll be very agile in our approach here. We're -- our base assumption is we'll continue with Plug as is. If that was not the case, we will have alternatives. And I think on the breakeven, we're completely committed to the breakeven '25, '26. And again, this is completely in our control. A short reminder that the fuel cell business we used to have was profitable. The only reason it's not profitable right now is because we're investing and scaling capacity. If customer demand, for whatever reason, was to tail off, we would reduce investment, and that immediately plays into the breakeven. So we have multiple levers here that we can pull that allow us to remain confident in our ability to break even by '25, '26.
Martin Dunwoodie: Okay. Thank you. Any questions in the room? I'll carry on the left. So I want to have front, if you can.
Ken Rumph: Hi, Ken Rumph from Goodbody. Two questions. One on Catalyst Technologies. I think we saw no particular change in the mix between licensing and supply. And therefore, the margin benefit was on the back of costs and so on. Margin mix gaining because of more licensing is part of the plan. The new contracts, the nine new contracts, what's the sort of timing of those? Are they all licensing-type deals? Yes, so timing and kind of other licensing. Second question on Clean Air on Euro 7. The worst combination is kind of Euro 7 later, but it still happens. So you still have to do the work, but there's less engines, which does seem to be the way it's going. So maybe it's a question for Anish. What's the sort of view on Euro 7? Thanks.
Liam Condon: Yes, sure. Thanks a lot. So let me start with licensing, the licensing versus catalyst business develops. And then -- and Anish can take Clean Air and Stephen, you chime in on any of the topics. So what we had or status quo for our Catalyst technology business today is we have 90% ballpark, 90% of the business is Catalysts and 10% is licensing. And over time, we see this shifting to maybe 60-40, but it's a very significant shift over time. All of -- and you're right that the sales growth was kind of equal, more or less, in Catalysts and basically licensing so far. And the important point with all of the nine wins that we announced, these are all licensing projects. And the important piece is this is typically revenue that's spread out over five years, and you get a smaller portion upfront and then it's distributed over the next five years. So you don't see the kicker impact of that now, but you know that revenue is going to come in the subsequent years. And on top of that, what I think is really important is that licensing business pulls in Catalyst sale because it can be licensing with a catalyst. And then you have after ballpark five years, you have the catalyst refill opportunity. So to give you a number that the nine projects translate into sales in a five-year period of about $185 million. And then after five years, you get the refill opportunity, which can be ballpark GBP10 million, GBP15 million again and subsequent sales thereafter. So there is a lag between securing a licensing project and seeing that, I'd say, portfolio shift over time, because the revenue comes in then a little bit later. But by sealing the win, you know it's going to come and then you can adjust accordingly.
Stephen Oxley: So just to be clear, the 450 basis point improvement is self-help in the Catalyst business. There is virtually no benefit from the sustainable solutions licenses in these results. That comes. So the self-help gets us to mid-teens margin, well on the road. And it's the contribution from the new licenses that will come in after that and push the margin towards 20% and beyond.
Ken Rumph: And Clean Air Euro 7 and the impact?
Anish Taneja: Yes. So I think the most important message first, our commitment to the EUR4 billion of cash until 2030/'31 is independent from when and how Euro 7 is going to be implemented. So I think that's the first and most important message. Then on Euro 7, I think we have to wait for the legislation process. As Liam stated, the Parliament has a position now. There's this negotiation between the Parliament, the counsel and the NV right now. We have to see how it ends up, especially knowing that there's an election next year. So there's a little bit of timing pressure as well for the colleagues there. And just to be clear on two points, our position. So we think Euro 7 should be implemented right soon and as it was planned originally because this is protecting the planet and saving lives. And I think the OEMs have an accountability here. And I said that on the stage with my customers, so I can say it here as well. They have kind of lobbied for pushing it out and making it weaker. So there's an accountability there to which we are going to hold them accountable once we negotiate how Euro 7 is going to be implemented. So we are their partners. We are here to catalyze their way to net zero. But if we have cost of developing Euro 7 and it's going to be later, that's commercial expertise to find a way with our customers how we're going to make them share those costs and hold them accountable for bringing that technology into the market. And the most important part is, obviously, with our partners and customers, we are in constant dialogue. And I can tell you that some of them are already thinking to keep the plans on Euro 7 even if legislation is later because technology is available and some of them don't want to get to the scenario that in a few years from now, they will be blamed for not having protected the planet and lives because technology was available and they have just decided to use it later. So these conversations are ongoing, and we will be a good partner to our customers, but we will get our fair share on the overall implementation of Euro 7.
Ken Rumph: Thanks, Anish.
Martin Dunwoodie: Another one from Riya and then we go back to the Web.
Riya Kotecha: I've got a follow-up question on the CT business and the licensing. So you mentioned EUR180 million in licensing win. Does that include the fair share? Or is it just licensing? And then if five years on, you're getting GBP10 million to GBP15 million refill each, does that mix percentage of 60-40 skew back up to Catalysts? And if so, what sort of steady state mix between licenses and Catalysts because presumably that then impacts the ultimate margin or the steady-state margin of that business versus the high teens number that you've put out?
Liam Condon: Yes. Thanks, Riya. So it does. So the licensing does include the first fill because typically, these are -- our process is designed together with a specific catalyst where we can offer them a guarantee for performance. So that is typically included. What's not guaranteed is that we will get the refill. But if we offer a performance guarantee, typically, we will. And the 60 -- the way we've modeled it out, basically, our Catalyst business will continue to grow based on the fact that our licensing business is growing. So independent of other reasons for the Catalyst business to grow based on the licensing progress, the Catalyst business will grow as well. It won't be exactly in lockstep. Otherwise, we wouldn't get the ratio improvement. From what we've modeled out, it gets to about 60% Catalyst, 40% licensing over time. That's the overall. And that allows us to get to the margins that we've basically given out. So it's sort of the mid-teens and accelerating towards the high teens margin in '27, '28 and increasing further thereafter. And I think the key difference is the Catalyst business is, of course, a lower margin business than the licensing business, where, in essence, you have no CapEx. It's a pure people business. It's an engineering consulting type of business. So that part, the sales part has a much higher profitability than the corresponding sales, the profitability related to the sales of the Catalyst piece. That's where the differentiation comes in.
Martin Dunwoodie: Okay. If we move back to the Web. Chetan Udeshi, JPMorgan. Does the target of more than GBP300 million gross proceeds from divestments include the previous divestments done in 2022 like AGT? Can you remind us of the proceeds already achieved until now in the total of the GBP300 million target? And then this is being a bit cheeky. If I could add one from Sid Sakuma at J.O. Hambro. It's all related. Could you please provide an update on the MDC sale process and also on the competitive intensity in the sales process? It's all related.
Stephen Oxley: Thank you for the questions. So the GBP300 million, just to remind you was net by the end of this year. We're making, I think, reasonable progress. Chetan, it's the whole of the value businesses. So it includes everything that's been in that portfolio. The cash to debt is GBP60 million. The single biggest business is MDC, the Medical Device Components business. I'm looking at Louise. But that process has now started. It's a fantastic business, and there's lots of interest in it. And as I stand here today, I'm confident that we will exceed that GBP300 million target.
Liam Condon: I would be massively disappointed if we didn't.
Martin Dunwoodie: There's a couple more from Sid on this. I don't know if you're going to be able to answer this. One of them is NDC again. What was the EBITDA of the business? And how much of the dual running costs? And what would the margin of the business post the new facility coming online be?
Stephen Oxley: I'm not going to get into that detail. We don't break out in the individual businesses within value businesses. But look, it's a great business. Let's see where we end up.
Martin Dunwoodie: And then last one from Chetan. The pricing benefits of GBP35 million is gross or net of cost inflation? And then the same question for the transformation benefit. Is this net of OpEx inflation due to higher wages, IT investment, et cetera?
Stephen Oxley: So the pricing benefit of GBP35 million is the pure pricing benefit. That's the top line benefit. So it's growth. It's not net at all. And sorry, Martin, the second was transformation? Yes, again, that's purely the benefit that we're tracking through to the bottom line. We've talked about the transformation cost to deliver that. We've said that, that will be around GBP100 million on a cash basis. That's obviously recorded in our non-underlying numbers.
Martin Dunwoodie: Okay. And then Sid Sakuma again, J,O. Hambro, PGM Refining. How can we get comfort that the volume picture stabilizes here? And what are your expectations for H2 and beyond?
Liam Condon: Yes. So I'll start and Steve can chime in. So we've seen a decline in recycling volumes of about 10% to 12%. And this is , as was alluded to earlier on, this is due to the lower auto scrap, due to the lower availability of new cars as well and people holding on to cars for longer. We've actually been able to recover the -- or compensate for that refinery volume loss through efficiencies in the PGM business. So the hit we're taking on the PGM business is really related to platinum group metal pricing declining. It's not related to the fact that we had lower volumes in the PGM refinery because we've been able to compensate for that. I think going forward, our assumption is that volumes will this year -- for the remainder of the year will remain relatively subdued and that we'll see a slow uptick in the following year. And we'll guide for that then next year, what exactly we're looking to.
Stephen Oxley: Yes. Yes. So look, the whole industry is seeing the kind of the volume decline. We do expect that to come back as new car sales or new vehicle sales increase. The other thing that I'd point to, of course, is we've talked about primary versus secondary in this business. And over time, partly because of the embedded carbon content, we see greater focus and greater use of recycled, i.e., secondary metals. And that's what we think is going to drive the volume progression over the longer term, but we're not going to see much of that in the second-half.
Martin Dunwoodie: No more questions from the Web. None in the room, I can see. So thank you very much, everybody, for coming along. thank you to Liam and Steve. And hopefully, we'll see many of you in the coming weeks. Thank you.
Liam Condon: Thanks a lot.
Stephen Oxley: Thank you.